Operator: Hello and welcome to WESCO's Fourth Quarter and Full Year 2023 Earnings Call. I would like to remind you that all lines are in listen-only mode throughout the presentation. [Operator Instructions] Please note this event is being recorded. I would now like to hand the call over to Scott Gaffner, SVP, Investor Relations, to begin. Please go ahead.
Scott Gaffner: Thank you, and good morning, everyone. Before we get started, I want to remind you that certain statements made on this call contain forward-looking information. Forward-looking statements are not guarantees of performance and by their nature, are subject to inherent uncertainties. Actual results may differ materially. Please see our webcast slides as the company's SEC filings for additional risk factors and disclosures. Any forward-looking information related on this call speaks only as of this date, and the company undertakes no obligation to update the information to reflect the changed circumstances. Additionally, today, we will use certain non-GAAP financial measures. Required information about these non-GAAP measures is available on our webcast slides and in our press release, both of which you can find on our website at wesco.com. On the call this morning, we have John Engel, WESCO's Chairman, President and CEO; and Dave Schulz, Executive Vice President and CFO. Now I'll turn the call over to John.
John Engel: Thank you, Scott. Good morning, everyone, and thank you for joining the call today. You saw from our earnings release earlier today, we had a very disappointing fourth quarter to close out 2023, which results well below our expectations. These results, they're unacceptable. They're unacceptable to me and they're unacceptable to the entire WESCO management team. We understand the issues that drove our fourth quarter results, and we're already taking actions to address them. Dave will take you through this in detail shortly. But first, I'll summarize the three key issues we had in the fourth quarter. First, reported sales declined 2% versus our expectation for flat to slightly positive sales. This was due to a market downshift and reduced purchases with some customers. Second, we experienced higher SG&A expenses. This was due to higher-than-anticipated benefits and health care costs, along with higher cost to operate our facilities and IT-related expenses. And finally, our free cash flow generation was below our expectations. This was due to a lower accounts payable balance related to the timing of purchases. On a full year basis last year, certain sectors, including utility, data centers, industrial security and network infrastructure continued to grow, somewhat consistent with our expectations, while others underperformed, including broadband and specific OEM and construction-related sectors. As a leading global provider of business supply chain solutions, the WESCO team effectively navigated through this mixed economic environment last year. And this was all done while managing changing customer buying patterns as supply chains yield. I'm pleased that our team delivered 5% revenue growth in 2023 following two years of double-digit increases given these market challenges. We finished the year with our backlog near a historical high level and stable versus the end of September. Our free cash flow generation was higher in the second half and we returned 1/3 of our full year free cash flow to common shareholders through dividends and share repurchases. So as we move into 2024, and we take a look forward, the long-term secular growth trends that we have consistently described will continue to provide us with the opportunity to outperform the market and our competition. While our view of the general economic conditions in 2024 as favorable, I'm mindful of the uncertain backdrop that the election cycle, easing inflation, geopolitical upheaval and short-term borrowing rates may have on demand. Regardless of these near-term impacts, as a market leader, we expect to benefit from our global capabilities, our leading scale and our expanded portfolio of product services and solutions. Our investment and commitment in our digital transformation are expected to magnify those benefits as we roll out that program over the next 36 months. The substantial cash flow that WESCO generates has supported that investment over the last two years while allowing us to return capital to our shareholders. I am confident that WESCO will outperform our markets again this year, and we are positioned to deliver profitable sales growth and continue toward our long-term EBITDA margin expansion goal. Finally, I want to take a moment to provide you with two important updates. First, I'm very pleased to announce that we are narrowing and lowering our target leverage range for the first time since the company went public 25 years ago. You'll recall that we have historically had a target leverage range of 2.0 to 3.5 times net debt to EBITDA. Based on our size and scale and upsized cash generation, we believe it is the appropriate time to update this important target. Moving forward, our target leverage range is 1.5 to 2.5 times net debt to EBITDA and this represents a reduction of 0.75 of a turn at the midpoint compared with our prior range. Second, we are increasing our cash -- return of cash to shareholders in 2024. Our Board of Directors intends to increase WESCO's dividend by 10% beginning in the first quarter of this year. We are also continuing our share repurchase program, and we expect our share repurchases this year to outpace last year. Now turning to page four. I want to take a brief word and a brief minute to summarize the successful completion of our three-year integration of Anixter. The acquisition of Anixter literally transformed WESCO. This acquisition not only established WESCO as the clear leader in several of our business segments, but it also mix-shifted our business to higher growth and higher-margin end markets, reducing our cyclicality and increasing our resilience across all phases of the economic cycle. If we look at our performance metrics since the acquisition, they underscore the extraordinary performance and commitment of the entire WESCO team. We exceeded all our initial operational synergy targets set at the time of the Anixter acquisition. Sales increased 30% and adjusted EBITDA increased 89% versus the 2019 performance of the stand-alone companies. And EBITDA margin expanded 240 basis points. We did all this while rapidly delevering our balance sheet by three turns, 1 year ahead of schedule. Most importantly, since closing the Anixter merger in June 2020 through the end of 2023, total shareholder return was 353% compared to 62% for the S&P 500. As we sit here today, WESCO is much more than a traditional distributor. We're a critical partner to both our suppliers and our global set of customers. The combination of WESCO and Anixter has created a new paradigm. The digital transformation that we committed to at the time of the acquisition is designed to take that new paradigm and create the WESCO of tomorrow. That further empowers us to capitalize on our long-term secular trends from which we are uniquely positioned to benefit compared to our competitors. I'll now hand it over to Dave to take you through our fourth quarter and full year 2023 results as well as our outlook for 2024. Dave?
David Schulz: Thank you, John. Good morning, everyone, and I appreciate you're joining the call today. As John mentioned, we had a disappointing quarter with sales, margin and cash flow below our expectations. On slide five, you see a summary of our fourth quarter results. Reported sales were down 2% year-over-year. Like the third quarter, growth in utility, industrial, data centers and enterprise network infrastructure was more than offset by declines in broadband, security, OEM and construction. We experienced customer destocking in our shorter-cycle businesses in the second and third quarters. In the fourth quarter, we saw a step-down in demand versus our expectations, particularly in December. On an organic basis, sales were down approximately 3%, as a two-point positive contribution from price was offset by a 5% decline in volume. While our stock and flow sales were down in the fourth quarter, we continue to see strong project demand with direct shipment sales up versus the prior year. Project backlog continues to be at historically high levels, supporting our outlook for growth in 2024. In total, backlog was down 10% year-over-year and down approximately 1% sequentially from the end of September. We expect backlog to continue to moderate in 2024 as lead times have improved for most product categories. Gross margin was 21.4%, down 20 basis points sequentially. Relative to the prior year quarter, the 50 basis point decline in gross margin was driven by the anticipated reduction in supplier volume rebates as well as the impact of business mix. We continue to prioritize profitable top line growth and as an industry leader and tend to protect the progress we've made on gross margin with our enterprise-wide margin improvement program. Adjusted EBITDA was down 15% year-over-year, primarily reflecting the impact of lower sales and gross margin as well as higher SG&A expenses, which I'll discuss on the next slide. Adjusted diluted earnings per share for the quarter was $2.65, $1.48 lower than the prior year, primarily due to lower sales and margins. The impact of higher interest expense and a higher effective tax rate were a combined headwind of approximately $0.40 in the quarter. As part of our commitment to return more capital to shareholders, we repurchased $25 million of common stock in November. As we start 2024, preliminary sales per work day in January were down approximately 5% from the prior year, with CSS down low single-digits and EES and UBS down mid-single digits. This decline reflects the continued weakness in broadband, construction and OEM that we saw in the fourth quarter and a slow start in utility against a strong base period comparison. Of note, January backlog ticked up slightly compared to December. Turning to slide six. On this page, we want to provide you some additional insight to the sales miss in the quarter. As you can see, the exceptionally strong growth that we experienced in 2022 continued into 2023, but slowed materially in the second quarter as pricing benefits and volume growth moderated. In the second and third quarters, volume was relatively flat with price contributing about three points to the top line. As we moved into the fourth quarter and as we mentioned on the earnings call in early November, we expected to see an acceleration of sales from October to November and again into December, primarily driven by the shipment of projects from the backlog. Instead, we experienced a further slowdown in our stock and flow sales, along with some project delays, primarily within our CSS business. We were expecting organic sales to remain flat and instead, they were down approximately 3%. Turning to page seven. As I mentioned a moment ago, organic sales were down approximately 3% versus the prior year, reflecting a 2% benefit from price offset by lower volumes. Market volumes declined and were only partially offset by share gains as cross-sell was a positive versus the prior year. On the right side of the page, you can see the adjusted EBITDA impacts of lower sales, gross margin headwinds and higher SG&A in the fourth quarter. The year-over-year increase in SG&A was primarily due to higher salaries and benefits, higher costs to operate our facilities and higher costs related to our digital transformation. These increases were partially offset by the cost reduction actions taken in June. In total, adjusted SG&A represented 14.6% of sales, up 60 basis points from the prior year and I'll provide you more details on SG&A later in the call. Now moving to slide eight to review our full year results. Sales in 2023 were up 5% over the prior year, representing a full year record. Organic sales were up 3%, largely due to the benefits of carryover pricing. We are disappointed by the weaker-than-expected results in the fourth quarter. It's important to note that the growth we delivered in 2023 is a direct reflection of the power of our significantly diversified end market exposure from the Anixter acquisition. We delivered record sales in CSS from strong data center demand and share gains in security. Sales in UBS, also a record, were driven by strong growth in utility and integrated supply partially offset by weaker broadband demand throughout the year. EES organic sales were up 1% on a like-for-like basis as strong growth in industrial was offset by weakness in OEM and construction. Adjusted EBITDA was relatively flat with 2022. Gross margin was down 20 basis points due to the impact of lower supplier volume rebates as a percentage of sales as anticipated. EBITDA margin further contracted due to higher SG&A, and we did not get the operating leverage we expected as sales moderated. Consistent with our commitment to return a greater proportion of capital to WESCO shareholders, we returned more than $150 million to common shareholders between share repurchases and dividends. Turning to page nine. On this slide, you can see the relatively balanced contribution to our sales growth in 2023 from the market, including price, the benefit of share gains in our cross-sell program as the acquisition of Rahi -- as well as the acquisition of Rahi in late 2022. Each of these growth drivers contributed 1.5% to 2% of growth for the full year, a portion of which was offset by having one fewer workday and a net foreign currency headwind. On the right side of this page, you can see the relatively flat year-over-year EBITDA as the benefit of the 5% sales growth was offset by higher SG&A. Moving to slide 10. We have shown the quarterly cadence of SG&A by quarter. You can see that the step-up in second quarter SG&A was mostly driven by our annual merit increase. In 2023, the merit increase was up mid-single digits versus a normal year in the low single digits. However, at the same time, we reduced our top line forecast for the full year and took $25 million of annualized cost actions in June and then an additional $20 million of actions in the third quarter. These structural cost reductions, along with lower discretionary spending were the primary drivers of the sequential decrease of $32 million in the third quarter. In the fourth quarter, adjusted SG&A increased $23 million sequentially. Approximately one-third of this increase was due to higher-than-anticipated benefits in health care costs and the balance was due to higher cost to operate our facilities and IT-related expenses. Given the downshift in fourth quarter sales and the slow start to 2024, we are taking actions to address these higher costs. Turning to slide 11. Fourth quarter organic sales in our EES business were down approximately 4% year-over-year and down 2% on a like-for-like basis. Construction was down high single digits, reflecting continued weakness in wire and cable as well as weaker solar demand against a strong base period comparison. Industrial sales continued to be strong and were up mid-single digits over the prior year driven by automation and the oil and gas sectors. OEM sales were down mid-single digits. Backlog was down 2% sequentially and down 5% from the prior year, reflecting the continued reduction of supplier lead times. EES backlog remains at a historically high level as a percentage of sales. Adjusted EBITDA was down from the prior year with adjusted EBITDA margin down 120 basis points, which reflects gross margin headwinds from lower supplier volume rebates and higher operating expenses. For the full year, organic sales were down 1%, but up 1% on a like-for-like basis. Similar to the fourth quarter, which reflects weakness in construction OEM, partially offset by continued strength in industrial, which was up mid-single digits in 2023. Turning to slide 12. Fourth quarter sales in our CSS business were up 2% on a reported basis and down 1% organically versus the prior year. Certain large projects with technology companies shifted out of the fourth quarter into 2024. Additionally, we experienced a slowdown in stock and flow sales to contractors. Enterprise network infrastructure, which comprises structural cabling, along with sales to Internet service providers, was up low single digits in the quarter as wireless growth was offset by declines with Canadian Internet service providers. Security sales were down low single digits versus 2022, which was up more than 20% as small and midsized contractors were negatively impacted by lower construction spending. We saw the overall security market contract over the past couple of quarters, but believe we are well positioned and gaining share. Data center sales were up low double digits, driven by strength with hyperscale customers. CSS backlog has returned to normal levels due to significant reductions in supplier lead times and increased product availability. Backlog at the end of December was down 26% from the prior year and down 6% sequentially from the September level. For the full year, CSS sales were a record, up 12% on a reported basis and up 5% organically. We experienced solid growth in data center, including the benefit of the Rahi acquisition and share gains in security. Enterprise network infrastructure was also up versus the prior year, driven by strength in wireless applications. Profitability was also strong with record adjusted EBITDA and record adjusted EBITDA margin of 9.6%, up 20 basis points, driven by cost controls and operating leverage on higher sales. Turning to slide 13. UBS sales were down 2% in the quarter. Sales in utility were up low single digits versus a strong 20% plus comparison in the prior year. We continue to benefit from the secular trends of electrification, green energy and grid modernization in our project business. As expected, we did see a slowdown in our stock and flow sales with customers more tightly managing inventory. Integrated supply was up mid-single digits versus the prior year, consistent with the strength we experienced with other industrial customers within our portfolio. Broadband sales were down over 30%, which represented an unexpected incremental step-down in demand as customers continue to work through inventory and pause purchases until government funding is released. Backlog was down 5% from the prior year and up 4% on a sequential basis. Backlog remains at a historically high level as a percentage of sales. Adjusted EBITDA was down approximately 100 basis points versus the prior year, driven by lower supplier volume rebates, a mix impact and higher SG&A as a percentage of sales. For the full year, sales were a record and up 8% organically, reflecting double-digit growth in utility, cross-sell revenue and scope expansion, including with our integrated supply customers, partially offset by weakness in broadband. UBS posted record adjusted EBITDA and record adjusted EBITDA margin despite the significant sales decline in broadband. Turning to page 14. Free cash flow generation in 2023 totaled $444 million, which was below the $500 million to $700 million range that we provided in November. Relative to the assumptions in our outlook, the primary drivers were lower net income due to the decline in fourth quarter sales and a lower payables balance. On the payables front, we quickly aligned our purchases of inventory to the lower sales environment, which drove our payables balance down versus the third quarter. Purchases were stable in the second and third quarter. As stock and flow sales were below our expectations in the fourth quarter, purchases were lower, resulting in a lower payables balance. The decrease in accounts payable in the fourth quarter represented a use of cash of $233 million and the use of $320 million for the full year. Days payable decreased by approximately one day compared to the end of 2022. Moving to slide 15. As John mentioned at the top of the call, we are revising our target leverage range to 1.5 to 2.5 times net debt to EBITDA. This is an important milestone for the company as we have operated with the same 2 to 3.5 turns of leverage since our IPO in 1999. We will work to reduce leverage to our new range over time. Additionally, we will maintain the flexibility to go above the target range to fund acquisitions similar to what we did with EECOL in 2012 and Anixter in 2020. Our strong free cash flow generation allows us to quickly move back within the target range. We remain focused on a balanced capital allocation strategy, and plan to opportunistically utilize our cash for debt reduction and share repurchases going forward. We will also return capital to shareholders via the dividend initiated during 2023. As John mentioned, we intend to raise the common stock dividend in the first quarter of 2024. On share repurchases, we will continue to be opportunistic based on market conditions. We are committed to executing against our $1 billion share repurchase authorization. However, we will continue to be balanced between share buybacks and debt reduction, considering the significant rise in interest rates over the past year. Now moving to page 16 for the key sales drivers of our strategic business units. We provided the details on the quarterly calls and want to summarize how we performed during the full year 2023, along with our expectations for 2024. I'll start with EES as this is our largest segment. As you can see, we faced headwinds in both construction and OEM in 2023, that more than offset significant growth in industrial. As we move into 2024, we expect EES reported sales growth to be flat to up low single digits as construction end markets remain pressured in total despite an increase in large project activity. Industrial is expected to again benefit from continued growth from customers in many of the end market verticals we support. OEM is expected to be roughly flat. Looking at our CSS segment. We generated strong double-digit growth in WESCO data center solutions in 2023, along with significant share gains in security that allowed us to outgrow the market. However, enterprise network infrastructure, which is focused on service providers and data communication applications, including structured cabling products, experienced softness due to the slowing of 5G build-outs and construction-specific markets. Enterprise network infrastructure is the largest business for CSS and makes up approximately 40% of segment revenue. In 2024, we again expect strong double-digit growth in data center and share gains in security but some of the weakness that we saw in enterprise network infrastructure is expected to remain. That said, we expect a strong volume growth year for CSS with sales up low to mid-single digits. Lastly, looking at UBS, we generated double-digit growth in utility and mid-single-digit growth in integrated supply during 2023. This growth was partially offset by an approximately 20% decline in broadband due to customer destocking and delays of purchases until government dollars are spent. We expect growth in utility and integrated supply in 2024, but at a more moderate pace as we lap strong comparisons, significant 2023 price increases and as utility customers more tightly manage inventory and projects. In addition, based on customer and supplier input, we don't expect to see a recovery in broadband until late 2024 before turning to growth in 2025. Despite these factors, we expect strong volume growth for UBS in 2024 with sales up mid-single digits. Moving to slide 17. I'll summarize our outlook for 2024. Based on our view of growth rates for each of the businesses, we expect total revenue to be up 1% to 4% with organic sales flat to up 3%. At the midpoint of the range, price is expected to contribute about 1% to the top line with volumes relatively flat. From a quarterly perspective, we expect to see normal sequential patterns as we move throughout 2024. However, given the tough comparison in the first quarter, normal sequential trends would translate to a low to mid-single-digit decline in revenue year-over-year with growth rates improving in subsequent quarters. At the midpoint of our revenue outlook, sales would be up 2.5% including approximately one point of carryover pricing from 2023. On adjusted EBITDA margin, while we do not provide an outlook for gross margin, we expect to see improvement in 2024. Our transactional margins were stable in 2023. We expect improved mix and flat supplier volume rebates as a percentage of sales, along with the benefits of our margin improvement program to drive higher results in 2024. On SG&A, there are headwinds related to our annual merit increase, along with the return to target payouts for incentive compensation. These items combined represent an approximately $100 million cost headwind in 2024 and are expected only -- to be only partially offset by the cost actions we took in the second and third quarters of 2023. We plan to take additional actions to protect our margins and we'll be more specific regarding the cost actions when we report first quarter earnings. Bringing this all together from a P&L perspective, we expect adjusted EBITDA margin to be in a range of 7.5% to 7.9% with approximately $1.75 billion of EBITDA at the midpoint. Based on our range of sales growth and margin improvement combined with the underlying assumptions that you can find on the slide, we expect adjusted earnings per share of $13.75 to $15.75 and free cash flow of between $600 million and $800 million. This free cash flow outlook of $700 million at the midpoint would represent the highest free cash flow in our history. As I discussed a moment ago, we are focused on reducing our working capital days and expect to see an improvement in 2024. Now moving to page 18. Despite the multi-speed economy in 2023 and 2024, our long-term secular trends are intact. This slide shows the uniquely strong position of our company to drive growth and profitability in the years ahead. The end-to-end solutions that we provide to our global customer base are directly aligned with the six secular growth trends shown on the left side of this page. Our participation in these trends, coupled with increasing public sector investments in infrastructure, broadband and partnerships with the private sector, position WESCO exceptionally well. Our long-term financial framework is for WESCO to grow 2% to 4% above the market due to the combined benefit of secular growth trends and increasing share. With that, operator, we can now open the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Deane Dray with RBC Capital Markets. Please go ahead.
Deane Dray: Thank you. Good morning, everyone.
John Engel: Hello, Deane.
Deane Dray: Maybe we can start with parsing through what changed in terms of customer behavior. What can you tell us about the stock and flow business? How it changed during -- sounded like the latter point in the quarter, so specifically, the idea that customers are waiting for government funding and then what were the OE businesses that were soft? And where specifically was -- did you see construction weakness? Thanks.
John Engel: Yes. Deane, at the highest level, EES had strong industrial, as Dave mentioned, construction was down a bit. OEM was down a bit. But it didn't -- it wasn't far off our expectations. Now if you look at the underlying mix of EES, stock and flow is a little weaker than we anticipated. We did have projects -- project shipments, the DS shipments kind of tick up. That wasn't the big delta versus our overall expectations. The big delta was a shift in both CSS and UBS. So let me take you through each of them. CSS saw a slowdown in their stock and flow, really to various contractors and some select project pushouts, specifically with a few customers that -- these are fairly sizable projects. We had expected CSS to really step up sequentially. So this was really versus expectations. UBS as well had two major drivers. Integrated Supply, which is part of that business, industrial-oriented integrated supply business called WIS grew very nicely, mid-single digit growth, very strong, actually, and very strong momentum. Broadband was significantly weaker than we thought. It had been down all year in the 20% range. It was down over 30% in Q4. So we had thought we kind of hit the bottom on broadband, but it kind of lagged down a little bit further. We did have a very challenging comparable in Q4'22, but nevertheless, broadband was worse than expected. And then finally, utility, Deane, I'd say, utility was a case where customers clearly did some inventory management as we move through, let's say, the latter part of November through December and they were adjusting their purchases that really impacted stock and flow. So they had kind of -- they were kind of riding the inventory levels they had and kind of just push stuff out. You call it year-end inventory management. I think I hit all your questions. Dave, do you want to add anything?
David Schulz: Yes. I just want to mention on OEM. You had a specific question there. We had talked about manufactured structures being one of our issues throughout 2023. We think we've hit bottom there. There were some sales to customers that we were expecting in other sectors of our OEM business that we were expecting to ship out in the fourth quarter that we're not shipping out. So we do think that there was a market downshift with some of our OEM customers.
Deane Dray: Got it. That was all helpful. And then just as a follow-up for '24. Can you talk about the impacts of normalization? So we're seeing pricing normalize. It sounds like you're only getting a 1% benefit from carryover. You're seeing normalizing in order patterns from customers and how they manage their inventory and you're seeing more normalizing in your backlog. Just kind of take us through those themes and then specifically regarding price and order patterns.
David Schulz: Yes. Let me start with the pricing impact. As we've reported throughout 2023, the benefit of price was still a positive, but it was -- the growth rate was much lower quarter-over-quarter. We did two points of benefit on price in the fourth quarter. Most of the supplier price increases that we've been seeing are more typical of what we saw pre-COVID. So we're looking at the one to two points of announced price increases from many of our supplier partners. So we do expect to get some carryover. We've included about one point of pricing benefit from that carryover in our 2024 outlook. So we are seeing that normalization of price. Of course, we'll always have the commodity impact on the pure commodity products. That's always hard for us to predict. But generally, the pricing environment has stabilized to pre-COVID expectations. In terms of the order patterns, we're still seeing quite a bit of bidding activity within the businesses that we serve. So many of our customers are still out there with these major projects that we are still seeing good bidding activity. We do expect, as we go through 2024, that we'll continue to see the return to typical order patterns. And that's playing through for us and things like how much order do we have on inventory to support these projects based on these product availability and lead times coming down from our suppliers.
John Engel: Deane, I think your question is a good one in that we've had then -- I think we'll look back to this period of time going into the pandemic, through the pandemic, coming out of the pandemic and we clearly had some dramatic effects across the entire value chain in the global supply chain as we entered, went through and came out the other side. By and large, what we're seeing now is kind of a back to more normalized level across almost all dimensions of the business. Pricing, as Dave said, lease supplier lead times continue to be -- are back at pre-COVID levels except for a few select categories like engineered products, switchgear and transformers. So most of that supply chain disruption, there is a front end, through it, on the back end has kind of worked its way through, I think, as we closed out 2023.
Deane Dray: Thank you.
Operator: The next question comes from Nigel Coe with Wolfe Research. Please go ahead. Nigel, your line may be muted on your end.
Nigel Coe: Yes. It was muted. Thanks for that. So John, you mentioned the disappointments in the way the quarter played out. But really good companies make their own luck. And the SG&A and the free cash flow was obviously very disappointing in that regard. So I'm just wondering when you take a step back and think about kind of what transpired, is there an organizational issue here that needs to be solved? Is information flow around the organization? And maybe just talk about what changes in '24 to give us confidence that the team can deliver on commitments.
John Engel: Nigel, thanks for the question. I started my opening comments today by saying these results are unacceptable. They're unacceptable to me and the entire management team. I think we've clearly built a new company, and we established a very strong track record of delivering exceptional results and creating value. If you think about 2023 in summary, we had a little bit of a kind of softening in EES in Q2, we took some cost actions. And then as we go through Q4, things move pretty quickly. And look, as we enter this year, we still have our sales rates not bouncing back yet. So we have declining sales, as Dave mentioned, in January. So kind of that, it extends the Q4 trend on the top line. Although backlog has ticked up sequentially. So that's an encouraging point. We've got the best team we've had, Nigel. We've got very clear initiatives that have delivered value. As we've done over the last several years since we brought Anixter and WESCO together, we've refined our margin improvement program as we've entered -- we did that -- we launched it initially several years ago, and we refine it every year. So we refine that again, adding new tools and capabilities to that program, and that's effective in January of 2024 and we continue to see tremendous cross-sell opportunities. I think we've built a very good process, a rigorous process and have a real strong recipe around delivering the cross-sell results. So highly confident that we'll get the momentum back here quickly. As we kind of look at guide for the year, I think we are very thoughtful and measured in terms of how we set up the guide. We do expect more of a normal seasonality as we walk quarter-to-quarter across this year sequentially. And if you factor that in, that takes us well above the midpoint of the guidance range that we put out there. So I look at '24 as being a year that most of the external market factors seem to normalize and now we're down execution. And again, I feel very confident in the team we have in place, the initiatives that we have in place, building off the momentum and the results we've delivered since we brought these two companies together back in middle of 2020. Dave, I don't know if you can add anything? Maybe Dave talked to cash flow because I think -- just speak to the cash flow.
David Schulz: Yes. Again, I think that -- very disappointed with the cash flow performance. Obviously, there are two big factors, the biggest one being the accounts payable. And one of the things that we experienced throughout 2023 is our purchases stayed relatively stable, particularly in Q2 and in Q3, and we generated a significant amount of cash from our payables balance. The driver of reduction in the accounts payable balance was really driven by the timing of purchases. And as our stock and flow business began to underperform our expectations, we were not replenishing that inventory, therefore, not creating new payables. So as we're paying our vendors, we're not getting new payables onto the balance sheet. Clearly, was unexpected, but really driven by that stock and flow business decline and not replenishing those purchases.
Nigel Coe: I appreciate the detail there. Thanks, guys. And then my follow-on is a modeling question. If I take the $1.75 billion EBITDA guide and roll out through to in my model, I'm getting to the high end of the earnings range based on the below line guidance items. Is there anything I'm missing there or is my math is just bad? But is there some contingency within the EPS range based on EBITDA guidance?
David Schulz: One of the things that I would highlight is we've called out that other expense, which impacts our EPS. And this year, we had the high end of the range. We provided you with a range of $10 million to $25 million. We did $25 million here in 2023. That is the combination of our pension and the impact of our pensions on the P&L and then also the impact of foreign exchange rates on our balance sheet. But again, there's nothing else, I think, outside of what we provided you, those underlying assumptions should roll through to get to relatively close to where we are from the midpoint of our range.
Nigel Coe: Okay. I'll go back into the queue. Thanks.
Operator: Our next question comes from Sam Darkatsh with Raymond James. Please go ahead.
Sam Darkatsh : Good morning, John. Good morning, Dave.
John Engel: Good morning.
David Schulz: Hello, Sam.
Sam Darkatsh: John, you're on the US steel board. You've had a fun last couple, two, three months, it sounds like. So first question, I guess, with respect to inventory days, I think WESCO is like, I don't know, 10, 12 days higher versus pre-pandemic when adjusting for Anixter. And in isolation, this is obviously understandable based on the extended lead times. But when I look at your competitors, whether it's Graybar or Rexel, it looks like they're back at pre-pandemic days of inventory. And I'm trying to understand the difference. Is it different mix with direct ship? Is it utility? Is it a Schneider versus Eaton thing? Is this something WESCO-specific? How do you -- help us reconcile while the inventories are still elevated here, but not at your peers.
David Schulz: Yes, Sam. Again, I want to provide a little bit of perspective relative to the peer group that you outlined there. We do believe that we have a much higher percentage of our business is project related. And many of those projects include engineered components that have much longer lead times as we went through the recovery of COVID in '22 and into '23. We clearly saw the increase in our inventory days, primarily driven by that project and that project backlog, getting what we could get when we could get it and then waiting for those customized engineered components. This is something that we are very clearly focused on. We did not make the progress that we were expecting to make here in the back half of 2023. It's something that we have included in our outlook for free cash flow going forward is that we will reduce our inventory days in 2024. But clearly, some of it is relative to the competitive group, some of it is the business mix, and some of it is the types of projects that we service around the globe that, in some cases, include longer lead times and then longer time for us to service the customer.
Sam Darkatsh: Thanks. And my second question, the thinking behind lowering the target debt range, John, I know your company is historically comfortable with leverage. You have, I would say, at least an inarguably undervalued equity in a year, you're going to call the preferreds. You've got countercyclical cash flows. I think you mentioned in your prepared remarks that you're real pleased to do this. Why is this the optimal capital structure versus the prior 2 to 3.5 turns?
John Engel: Two things, Sam. One is the confidence in the upsized cash generation characteristics of the combined company. We've got a guide that will give us record free cash flow this year. So I mean, we're -- I remain more confident than ever about the underlying characteristics of our business model and the ability to generate cash. What we outlined at our Investor Day, we're confident and strongly committed to, that's the underlying cash flow characteristics of the business. What we outlined there as well as outperforming the market over the top line consistently over time and then delivering the EBITDA margin expansion. So that's the first driver. We delevered very quickly, much faster than we had committed externally, and we're very confident in the underlying cash flow characteristics. Secondly, I think it's a recognition of -- and based on some investor feedback, that we should -- we -- in general, we should operate with a little bit lower leverage ratio. And we've looked at our investor peers and others. And so I think this represents -- we always were going to move here at some point, Sam. It's just a matter of when. And it's a decision we've looked at for some time and made that decision, obviously. But we think it sends a very strong message that we'll operate consistently as a target within a lower target leverage range and still with increased capital return to shareholders in the form of dividends, which were increasing, announcing the intent, our intent to increase it as well as continuing our share buyback program that we've got authorized. So I think it's a very strong message. We hope that you see it as such.
Sam Darkatsh: Thank you.
Operator: The next question comes from Christopher Glynn with Oppenheimer. Please go ahead.
Christopher Glynn: Hey, thanks. Good morning. Just wanted to dive into some of the uses of cash going forward. Share repurchase, you had $1 billion authorization intent to use it by '26. It seems like you're talking more about opportunistic levels now. I think we're expecting you'll have the cash for $540 million preferreds in the second quarter, '25. And just curious, in those context, if you could help us think about those, what amount of balance sheet cash is appropriate is sort of a threshold benchmark?
David Schulz: Yes, Chris, let me start by just grounding everyone on the primary sources of cash. We've walked through that. We provided you our outlook, $700 million of free cash flow at the midpoint of the guide. The dividend payments, including the common and the preferred, rough around $140 million of cash in 2024. That still leaves us with about $560 million of cash that we can allocate against our priorities. So from that perspective, we're going to be opportunistic on the share buyback. We have the $1 billion authorization. That is not time bound. So that is something that we can always leverage here up to that $1 billion limit. We're still at the very early stages. We have not done a considerable amount of share buybacks over the past two years. So from our perspective, we'll be opportunistic on whether we continue to pay down existing debt or we leverage that cash for share buybacks. And like we use that word opportunistic quite a bit. That's exactly how we look at it is where can we get the best return. As we think about paying down our existing debt, that just frees up capacity on our existing facilities that we're keeping in mind that we do have that preferred that needs to be taken out in the second quarter of 2025. So that is part of our calculus as we think about deploying cash here in 2024.
Christopher Glynn: That's great color, Dave. Just one other component, is about $0.5 billion what you should have on the balance sheet to support your operations on average?
David Schulz: That's correct. I mean that's the amount that we typically have been carrying. So we're comfortable with that $500 million to $600 million of cash on the balance sheet. And again, we think about that as supporting the day-to-day business, particularly as we go through the different elements of building sequential sales throughout a typical year. So we want to make sure that we've got the available capital on the balance sheet.
Christopher Glynn: Okay. Great. Thank you.
Operator: The next question comes from David Manthey with Baird. Please go ahead.
David Manthey: Hi. Good morning, guys.
David Schulz: Hello, David.
David Manthey: First question, so this time next year, when we look at the right-hand side of slide nine, that EBITDA bridge, what you're telling us is that all three of those bars should be green? They might be really skinny, but they'll be green. Is that your expectation?
David Schulz: So Dave, we did highlight that -- and just for the audience, we're referring to the fiscal year 2023 sales and EBITDA bridges that were in our prepared remarks, slide nine. We would anticipate that sales will be a positive green, gross margin rate and gross margin sales as we commented, we would expect that to improve year-over-year. SG&A would still be negative, but we expect to get leverage -- operating leverage on SG&A.
David Manthey: Okay. All right. That's fair. And then I'm thinking about the -- what you mentioned on rebates being stable. When I think about the supply chain issues working out, backlogs down, I mean the inventories are still somewhat elevated as we've kind of talked about, maybe you don't think that relative to the project business, et cetera. But when you say rebates are going to be stable, it would seem like downside would be more likely. Can you just talk us through why you think that flat is the right idea there?
David Schulz: Yes, certainly. We negotiate our supplier volume rebate programs with our supplier partners every year. And it's generally based on a joint view of what the market growth opportunities are and then what are the specific products or product categories that our suppliers are incenting us to ensure that we push through to the channel. The -- as you take a look at the history of our supplier volume rebates, we did about 1.6% of sales in 2022. That was on a performance that included us being at the higher end of those growth rates during 2022. That moderated here in 2023. So we lost about 20 basis points, about 1.4%. Our expectation is that we're going to continue to negotiate and hold that supplier volume rebate given our outlook for sales that we provided to you. Again, those supplier volume rebates get reset to market expectations every year. So you can see what some of our supplier partners have put out in terms of their expectations for 2024. We're still negotiating but our expectation is that our SVR as a percentage of sales will be relatively consistent 2024 versus 2023.
David Manthey: Okay. And if I can just close the loop on this thought finally here. Dave, you said you don't want to talk too much about the SG&A reductions. But maybe if you could talk about the areas you're targeting for reduction as opposed to quantifying that? You talked about two-thirds of your increase in the current quarter coming through facilities, IT, sales promotions, the other third benefits in health care. Is it one of those? Is it something outside of those? Can you just talk in broad strokes about the areas that you're targeting?
David Schulz: Certainly. And again, we've done this before. And we are coming off of two years with significant double-digit increases in '21 and '22, our sales growth moderated unexpectedly in the back half of 2023. We had some SG&A items. There's always some puts and calls whenever we close the year. In 2023, everything went the wrong way. And again, as we think about what we've got to target from an SG&A perspective going forward is we've got to get the profitability back. And that means we've got to reduce our SG&A as a percentage of sales. Like we've done in the past, we'll target a combination of discretionary spend plus some structural spend. That includes how do we consolidate some of our facilities to reduce our costs. We'll be very, very focused on headcount management based on the demand that we see out there. We do want to continue to invest in our digital transformation. So that is something that we want to make sure that we're able to continue to pull forward. And so from my perspective, this is a combination of tighten the belt on discretionary expenses and then focus on some of the structural changes that we need to make to ensure that we've got the profitability that we expect internally but also you and our investors expect from us.
David Manthey: Thank you very much.
Operator: The next question comes from Patrick Baumann with JPMorgan. Please go ahead.
Patrick Baumann: Hi. Good morning. Thanks. Just wanted to go back to slide six and go over some of these fourth quarter items in terms of missing on the sales expectations you had. Maybe first on the CSS business. Can you talk about like where specifically you saw projects delayed? Was this like the Rahi business you acquired? Is it data center-related? And then what's your visibility of that coming back in '24? Is that embedded in your outlook? And then on the EES segment, a couple of ones here. Like how big is solar for you? I don't remember you guys talking much about that before. And then what's in OEM, like what's declining? I mean, I feel like this is a business where you don't have a lot of visibility to -- over the course of the year, you talked about manufactured housing. You've talked about small vehicles. It's not clear to me what exactly is in the OEM business besides that and kind of what drove the weakness here in the fourth quarter would be helpful.
David Schulz: Certainly. Let me start with CSS. Relative to our expectations, and if you take a look at how we finished the fourth quarter, the biggest miss relative to our expectations was within the CSS business. That's where we did see some of our large projects to technology customers, including some data centers, got pushed out of 2024. We were clearly focused on having those ship in November, December, they've been pushed to the current year. So that is something that was unexpected. We have included those sales as we think about the growth rates in the current year into 2024. On EES. So EES came in, as John mentioned, relatively close to our expectations, but we had some puts and calls within the makeup of those sales. I'll mention on OEM. We had called out the manufactured structures business, which is, as you said, Patrick, it includes some specialty vehicle. It also includes some manufactured housing. That business has been relatively stable. I mean, I think we've hit the bottom in terms of the overall market opportunity and our sales. But we did have some customers in other segments where sales were expected to ship in November, December that we did not see ship. So we do think that, that was driven by a market downshift relative to our expectations. And then I'll just highlight again on UBS. Broadband came down more than we thought it would. The other thing that we had highlighted was utility, just comping some very strong numbers. We still see very strong demand from the utility business. But again, against the tough comparison, we came in below our expectations in the fourth quarter.
John Engel: Patrick, I'll add that the secular growth trends are still intact. And so I'll just -- I'll add to Dave's comment relative to data centers and what we call our WDCS business, our WESCO Data Center Solutions, which is the combination of Rahi plus Anixter's legacy data center business, which was exceptionally strong. So that had very strong results in the fourth quarter, and it grew double-digits. Obviously, it was up very strongly across the year. But there were some projects that did slip out that we had expected to get in December. The momentum vector is still exceptionally strong there. And we got very high good bidding -- bid activity levels and quoting levels. The AI-driven demand is expected to only further accelerate, I think, the opportunities with data centers. And we expect very strong results in 2024 because I think that was part of your question as well. Very high single digit to low double-digit growth for that portion of our CSS business.
David Schulz: Yes. Let me just go back. I failed to mention solar. So solar is high single-digit percent of our EES business. We've not provided the specific number. We do support a combination of nonresidential plus residential customers related to that solar business. We've seen a significant downturn just based on inflation, interest rates and some of those demand patterns in our EES business for solar.
Patrick Baumann: Thanks. And then just one follow-up just on the first quarter. You mentioned, I think, sales down mid-single digit. And then I was wondering if you could give some color on margin expectations for the year-over-year because for the full year, you have them up, I think, 10 basis points at the midpoint. But since you're starting slow, I'm going to imagine that you're down to start the year-over-year on margin. If you could just help provide some parameters around that. That's be helpful.
David Schulz: Yes, Patrick. Let me walk you through how we developed our 2024 outlook, and I'll focus on sales first. As we mentioned, we're down about 5% in the month of January on a preliminary basis. That's in line with typical seasonality. And the way that we built our 2024 sales outlook is we started with our Q4 2023 and we applied the typical seasonality on a sales per workday basis. So from that perspective, we typically see January down mid-single digits, typical seasonality, and we see the first quarter down low single digits. We've applied that same methodology for each of our quarters. The one thing I'll note here is that Q1 and Q2 of 2023, the reported sales were up 12% and up 5%, respectively. So we've got tough base period comparisons in the first half. In the second half of the year, again, we've applied typical seasonality sequentially by quarter which includes sequential growth Q1 to Q2, relatively flat Q2 to Q3 and then just a very modest growth rate into the fourth quarter. In 2024, we have two extra workdays, they're both in the back half of the year. So as we think about the construct of our sales outlook, it's roughly 48% front half, 52% back half. That 52% back half, of course, being helped by the two extra workdays. So again, we've applied typical seasonality against our sales outlook. If you look at typical seasonality, it would point you towards the higher end of the range of our 1% to 4%. But we, of course, have taken a look at some of the other external factors and we've incorporated that into how we've set the range for 2024. Our project activity, our bidding levels continue to be strong. That also supports the range of 1% to 4%. On the margin profile, we've given you the margin profile and our expectations for the full year. We're not going to provide the specific margin drivers for the first quarter.
Patrick Baumann: Hey, thanks. Appreciate the color.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to John Engel for any closing remarks.
John Engel: Okay. Thank you again for joining us. I'll bring the call to a close. We've addressed all your questions. I thank you for your support. It's appreciated. We look forward to speaking with many of you. I know we have many follow-up calls planned today and tomorrow in the coming days. We also will be participating in a series of conferences over the next two months. First, the Raymond James Institutional Conference; second, the Loop Investor Conference; and third, the JPMorgan's Industrial Conference. And additionally, we expect to announce our first quarter earnings results on Thursday, May 2nd. So with that, thank you, and have a good day.
Operator: This concludes our conference. Thank you for attending today's presentation. You may now disconnect.